Operator: Good morning, everyone. Welcome to the Second Quarter 2021 Conference Call for LifeWorks Inc. Please note that this conference call will contain forward-looking statements, which reflect management’s current beliefs and expectations regarding the corporation’s future growth and results of operations. Actual results can differ materially from these anticipated. I would now like to turn the meeting over to Mr. Stephen Liptrap, President and Chief Executive Officer of LifeWorks Inc. Please go ahead, Mr. Liptrap.
Stephen Liptrap: Thank you, Laurie. Good morning and thank you for joining us. On the call with me today is Grier Colter, our Chief Financial Officer. Yesterday, after the markets closed, we released LifeWorks’ financial results for the second quarter of 2021 and year-to-date. My comments today will focus on the business highlights for the quarter and year-to-date, Grier will cover off the financials in more detail, and then we will open the call to questions. As we build on our brand change and move further into the well-being in digital health spaces, we thought this was the right time to update our reporting and we hope you appreciate the more detailed information and updated look and feel. We have added new metrics in data about our performance as a world leader in total well-being and provided more insights into our growth from our digital health businesses. We believe this helps tell our story as we execute on an exciting strategic plan with our uniquely differentiated solutions. This reporting change is timely, because it coincides with our first quarter reporting under our new LifeWorks name. Our new brand launch has been extremely well-received by our clients, prospects, investors and our employees around the world. While we are very proud of our path, we are geared up for growth as we continue to own more of the global well-being space and bring together amazing capability with digital and in-person delivery. Meeting our clients’ employees needs when and how it suits them. In the second quarter, we saw strong sales growth and continued expansion of our pipeline. Removing foreign exchange volatility, we delivered strong revenue growth. Overall, we saw revenue on a constant currency organic basis grow 7.8% in the quarter and 8.7% year-to-date. Adjusted EBITDA margins for the quarter were down to 19.2% or 19.9% year-to-date. The margin impact is mainly due to an accounting change related to software implementation costs, one-time expenses relating to our brand change and a very strong demand for our in-person solutions provided to people exiting the COVID lockdown with significant mental health and other challenges. The good news is our multi-modality model of delivering the services in the way our clients’ employees want and need really resonates. We did see a surge of people wanting to see a counselor face-to-face, which they have not been able to do for 18 months. And we know many deeply value getting the help they need in this way. As further evidence of the power of our model, we are able to win over 10 mandates away for new digital-only competitors as they could not meet their client demands for in-person services. We have always believed that to properly support our clients’ employees, we need to continually offer a broad range of modalities as their needs are very different. These solutions include in-person, digital, telephonic, e-mail, 24/7 chat and other AI-driven solutions. We are very pleased with the strong growth we saw in the quarter, and in particular, the growth of our digital well-being solutions. A good measure of that growth is our metric of tech-enabled recurring revenues, which grew at 7.3% in the quarter, which is close to Q1 if it wasn’t for the currency headwinds and 11.3% for the year-to-date versus the same periods in 2020. Another reporting change we made is providing more detailed financial information on our four lines of business. All our core businesses are delivering to sales and revenue expectations. At the end of the quarter, approximately 5.9 million lives were covered on our LifeWorks platform, a 73.5% increase over Q2 last year. In terms of up-selling, some 20% of the organizations on the platform are now paying for extra modules, up from 17% last quarter. We also crossed 1 million lives covered level for additional value-add modules. Our iCBT solution year-to-date growth is up 419.7% crossing the 1 million session threshold. The bigger picture is that we are seeing strong adoption of our digital health solutions that go beyond iCBT and now include telemedicine, where we are also starting to win market share. To support that strong growth, we are continuing to invest in the digital capabilities of our platforms against our commitment to become the digital leader in well-being. In July of this year, after a lot of system work, we were excited to announce that we integrated our award winning LifeWorks application, our digital global total well-being platform into the Microsoft Teams and Microsoft Viva. This integration with Microsoft will enable us to increase the reach of our well-being platform to help clients provide and support their employees. Through prioritizing well-being by using our expert digital resources, individuals will be able to improve life and productivity within their daily workflow. This collaboration also uniquely positions us to create evergreen technology for good and has great potential to further spur our growth in the digital workflow ecosystem. We have seen the need for supportive resources since the beginning of the pandemic and we are proud to help clients offer the tools they need to empower their people. The real significance of our expanding digital ecosystem is how it improves our ability to offer everything. What’s really resonating with our clients is a full spectrum of our capabilities in the personalized continuum that we offer to improve the lives of people. It’s not just digital or face-to-face solutions. We offer everything our clients want for the care that their people need in the way they want it. Digital, chat, video, telephonic, face-to-face, everything is within easy reach. The strategic value of our personalized continuum of care became clearer in the quarter, where demand for in-person services took off as lockdowns began to recede. While digital healthcare will keep growing at an accelerated rate, in-person services will continue to be an essential component of the help that people need, especially given the relevance of mental health as a societal issue today. 10 years ago, the idea that the world’s most decorated gymnast, Simone Biles, stepping away from Olympics to take care of her mental health would have been very unlikely. Naomi Osaka, Wimbledon, is a similar situation. Clearly, mental health is starting to be talked about and we should celebrate these athletes and others that show its okay to ask for help. Another metric that we have highlighted in our new quarterly report is geographic or regional revenues. For some time now, we have been talking about our expectations for regional growth. And broadly speaking, our expectations have settled into ranges that include mid single-digit growth in Canada, mid to high single-digit growth in the United States, and double-digit growth internationally. International revenues may not be a large part of our business today compared to Canada or the United States. 5 or 10 years ago, the same could have been said of our revenues in the United States, whether it’s Australia, Brazil, or many other countries of the more than 160 countries, where our solutions are we are getting more traction. Well-being is verifiably a global opportunity today. In our continuing research for our monthly mental health index, we are seeing more and more organizations around the world, making the connection between well-being and business performance. We are poised to capitalize on that growth as we go forward. I would also like to point out the availability of our mental health index provides a key measure for organizations. It speaks to the S in the ESG framework. We are pleased that a business or brand asset like our index can make significant contributions to the communities in which we operate. And finally, as we did in Q1, we continue to convert strong sales into revenue while continuing to build our sales pipeline. Again, we ended the quarter with a record high pipeline. All-in-all, a strong quarter and solid year-to-date performance. Let’s turn to some business highlights in the quarter. We had another strong quarter in our Integrated Health Solutions business. Organic constant currency revenues were up 9.3% in the quarter and 10.3% year-to-date versus the same periods last year. In this business, we are very pleased to win multiple well-being and telemedicine contracts over the past quarter, much like we did in Q1. This includes new wins with 2 Western Canadian public sector organizations and one of the world’s largest technology distributors. The U.S. health insurer we mentioned last quarter that added telemedicine to their services from us is now an open enrollment for one of their two trusts. Open enrollment for the second trust starts this month. With the addition of second trust, members that will have the access to our telemedicine solution on our platform and has increased from 20,000 reported last quarter to 33,500 members. Our health and productivity business has been on a real terror this year, with quarterly organic revenues in constant currency up 19.5% and year-to-date up 20.8% compared to the same periods in the prior year. We continue to see strong uptake in our mental health market leading ability, CBT solution with multiple contract wins in Canada and the U.S. The wins in the quarter include another milestone in our partnership with the Government of Ontario to support the Province’s mental health strategy. We have also seen two significant distribution partnership deals in the U.S. with a Western university. In our administrative solutions, which includes our health and welfare business we had a strong quarter and excellent constant currency organic growth of 7.2%. There were several significant administration wins, where up-selling and cross selling were big themes. We sold many additional special projects for the defined benefit solutions to a global financial company based in the United States. For large North American industrial company, we now have 4 solutions on the books that include defined benefits and asset and risk management. In retirement and financial solutions here, we too we are having a solid year and have been over-performing slightly in Q1 and we underperformed somewhat in Q2. We are essentially on track for the year. New contracts include a Western Canadian government added mandate, along with sizable deals with two pension plan administrators. Before handing off to Grier, I want to emphasize a few points about where LifeWorks is going and how we are getting there. First, as a global enterprise, we are moving forward with a new brand as LifeWorks that supports our growth strategy. Our new brand offers a fresh voice that speaks directly to our purpose and the powerful trend in the sector that makes a strong connection between improving lives and improving business. Second, the change in our reporting approach is an opportunity to tell our story as a growth business with deep strengths in bringing our digital technology and talent together to deliver a uniquely differentiated value proposition to our clients. Finally, there are three levers for growth in our business model that gives us confidence in where we are heading. One is a solid core of recurring revenues across our businesses. Second is our accelerating global expansion. And third is our proven ability to grow by innovating with new digital technologies to create market leading solutions, such as our integrated well-being platform. On that note, Grier will review the financials.
Grier Colter: Thanks, Stephen and good morning. I’d like to briefly add some context to Stephen’s comments about the changes in our reporting format and metrics. Going forward, our news releases where we will net out the highlights for any given period, we will no longer use that format to duplicate information that is more comprehensively provided in the quarterly report. In our redesigned MD&A, we have expanded our reporting to provide additional metrics that we look at as a management team to assess the performance of our business, including geographical detail and service line information at the business level. Let’s turn to the financials. It was a strong quarter. What stands out for me in the results are two trends in the business that complement one another? The first is how fast our well-being offerings are growing and providing digital health solutions. The second is the return of in-person services. The pent-up demand coming back as lockdown conditions start to recede. Taken together, the growth in digital and high demand for in-person services tell a compelling story that we really can do anything our clients want, right across a very broad and personalized continuum of care. We are not only digital or face-to-face, we do it all. And that story is showing up in the revenue growth that we are driving. In Q2, the top line was excellent. We reported $257.7 million in revenue, an increase of 4.7% over last year. But considering the strong foreign exchange headwinds, that number was 9.3% on a constant currency basis. Year-to-date, the story is just as strong on the top line with $514.9 million in revenue, a 5.2% increase and 8.7% on a constant currency basis. Tech-enabled revenues were also strong in both the quarter and year-to-date. You will note that we are providing more information on the impact of currency. It may not always tell a different story, but right now it does and it’s likely to be relevant as we continue to grow this business globally. We continue to be pleased with our revenue growth in all regions that we operate. Organic revenue growth on a constant currency basis in Q2 was 7% in Canada, 6.6% in the U.S. and 28.8% outside North America. Year-to-date, those numbers are 8.6%, 6.6%, and 27% respectively, again, all constant currency. Stephen mentioned adjusted EBITDA margins in the quarter and the reasons for the marginal decrease. Adjusted EBITDA was $49.5 million in the quarter and $102.3 million year-to-date. We are up 2.9% year-to-date on adjusted EBITDA, with margins of 19.9%, a decline of approximately 40 basis points year-over-year, again for the reasons that Stephen had mentioned in his remarks. Adjusted EBITDA per share this quarter was $0.71 compared to $0.75 in Q2 2020. Profit for the quarter decreased by $49.1 million, primarily driven by the after-tax impact of accelerated amortization recognized in relation to the Shepell trade name of $51.4 million in the current quarter. Basic earnings per share for the quarter decreased by $0.70 versus the comparative period as a result. During the quarter, the company generated normalized free cash flow of $25.4 million compared to $32.8 million in the same period in 2020, a decrease of $7.4 million, which was driven primarily by higher CapEx related to the leasehold improvements for our new corporate office and software development. We are pleased with our management of working capital and this is a result of the continued focus from our people managing accounts. As an example of this, our average receivables outstanding, has declined by 8 days year-over-year. Lastly, the company will continue its policy of paying a monthly dividend of $0.065 cents per share. And with that, I will turn it back to you Stephen.
Stephen Liptrap: Thanks, Grier, for your for your comments. Laurie, please go ahead and open the line for questions.
Operator: Thank you, Mr. Liptrap. We will now take questions from the telephone lines. [Operator Instructions] And the first question is from Stephanie Price from CIBC. Please go ahead. Your line is now open.
Stephanie Price: Hi, good morning. Thank you for the detail.
Stephen Liptrap: Good morning, Stephanie.
Stephanie Price: In the MD&A, we like the new branding – re-branding over here. Just curious about the year-over-year increase in the number of lives in the LifeWorks platform, can you talk a little bit about what you are seeing in terms of demand for the platform as we hopefully exit the pandemic and any changes in kind of what enterprises are looking at as we exit the pandemic?
Stephen Liptrap: Yes, thanks for the comment on the MD&A and everything. Stephanie, it was obviously really important to us to do that and it was good timing with the branding. In terms of the platform we are seeing, as you have seen continued interest over time. When we think back to when we started this shortly after the LifeWorks acquisition, we had this concept in this theory that rather than just phoning in for support, it was way better if we could get a platform in front of the employees of our clients and on that platform, they could have personalized feeds around what they were mostly interested in rather than what others thought they would be interested that they could have immediate access to counselors that they could get all the support and everything. And we have been having the conversation with clients over time. And as you know, the number of people that we cover within our EAP has increased significantly up to just under 15 million direct lives we have covered. And then every single quarter, we have been talking to our clients about getting their employees on them. And we are quite excited that we are just under 6 million lives that we have moved on to our enhanced platform. We are getting really, really good feedback. And then as you would have seen the rate of clients saying we would like some additional modules, we would like to do more with the platform and we are willing to pay that, has increased, where we are now over 1 million lives and our up-sell as we kind of track it is over 20%. So, we continue to get great traction and we continue to be ahead of where I thought we were. But I think there is lots and lots of potential for growth as we go forward.
Stephanie Price: Okay, great. And then just on the Microsoft relationship and the Teams integration, just curious can you give us a little more color on that? So is Microsoft reselling the LifeWorks solution and how should we kind of think about that, that relationship?
Stephen Liptrap: Yes, we are really excited about this. We have spent a fair bit of time getting everything working from a technological standpoint. And we are really excited to announce that recently. As most folks know, there is over 250 people moving Teams alone, which is incredible when you think about it. And imagine if you are working in the Teams ecosystem and with a click, you can get help and the support you want, you don’t need to leave the system, you don’t have to think about something else. Also with us being in there, right up beside calendar and right up beside chat and everything, it’s a constant reminder to people that there is support at their fingertips. We have rolled it out to our employees about a quarter ago as a test. And the feedback has been absolutely incredible. We have been starting to take it into prospect presentations which is really, really positive. We know that we have a lot of overlap between our clients and Microsoft clients. And as we are in there doing those presentations, clients are very, very excited about having something that integrates to the thing that their employees are on every single day. So, when I think about it, I think there is an opportunity around winning more and increasing our win rate, because of having a more integrated opportunity as we think about prospects. Then when I think about our current clients, it’s really about an opportunity to get more of them on the platform, because the platform becomes more powerful. And then frankly, a lot of those cases, we will be delivering more digital solution. So, it will also help us with margins over time as well. Yes, there are agreements in place with Microsoft and we will have opportunities to expand on that a little bit. But I think there is a lot of things that will come to fruition over the next many, many quarters that will make this a great deal for us.
Stephanie Price: Okay, great. Thanks. And then just last one for me, maybe for Grier, just on EBITDA margins in the quarter. It seems like there were some puts and takes here. Maybe some of it was non-recurring could you kind of walk us through those three, list of three things that you mentioned? And maybe also a follow-up to talk a little bit about the margin differential between the in-person work in the virtual care?
Stephen Liptrap: Yes. And Stephanie and I’ll slip it to Grier in a second, I just wanted to make one quick comment, because in an odd way, I think the margins being down was actually some really good news. Because, one of the key drivers in there was a huge demand for what we do that is so different than anyone – what anyone else does. And it’s a fact that we do both digital and in-person. And sure, our cases in the quarter were up 18% and the cost associated with that. But from there, we saw 10 wins come over from digital-only competitors. And if you think about in the middle of COVID, we were able to compete with digital-only competitors. And now post-COVID, we are able to easily compete as we have before with folks who deliver in-person services, but we are really the only ones who do both of those. So I will take the short-term cost increase any day, because it does remind me of what we do. And I do think it’s going to play out on the long run. And frankly, I think those short-term increases in cases will normalize. And if they don’t, then we have an easy conversation with our clients around taking more pricing, because they are just paying for the services they get. And then on top of that, you take a look at the software implementation costs that I know Grier will talk about, which is now expense and it used to be capital and then a one-time thing around brand. So I just want to give you a little bit of my color before I turn it over to Grier.
Stephanie Price: That’s good color. Thanks.
Grier Colter: Yes, thanks, Stephen. So Steph, what I would say is it was really three main factors. The first one is pretty simple. So, we spent about $1 million in the quarter on re-branding. The work is done. So that’s not something that will reappear in Q3 and beyond. So, that would have impacted the margin by 30 basis points, or 40 basis points. So, that was clearly non-recurring. The second item that I will talk to you is an counting change. And so what this is, is basically, if you think of integration costs associated with cloud based software. So in our case, Amazon Connect, Zscaler, these type of names, that we were doing work to configure and integrate into our ecosystem here. Previously, the accounting rules gave latitude to either expense or capitalize. We felt that because these had future benefit that our policy was to capitalize, which was clearly within the guidelines of the rules. They have clarified the guidance in April, narrowed it and said, if it’s integration costs associated with cloud based, really, the rationale is that you don’t own the code. And so that distinction, now, you are no longer able to capitalize those costs. So in the quarter, those would have been about $2 million give or take. So, brought the margin up by call it 80 basis points. And these types of items are going to continue for us. I mean, these were good investments with good IRRs. And when we started the year with we thought there would be capital now there are OpEx. But in terms of how we run this business and trying to create returns and do smart things, it really has no impact whatsoever in terms of where and accordingly obviously, the CapEx on the other side would come down by those amounts. It’s just a question of where they appear in the accounts. For the year, so this was we were doing a little bit more in Q2. So as I said, it impacted about 80 basis points. For the year, it will probably be more like 50 basis points. And what I would say is, this will probably – we will always be spending on this type of expense. So, in the longer run, it’s probably something like that number, maybe it’s a little bit less than 50 basis points. We are on a fairly aggressive path to evolve our tech stack into more of a cloud type approach. But I mean this is always going to be something that we will continue to work on. So, I think that’s more of a permanent thing. But again, it’s just an accounting thing. And then yes, I think Stephen talked a little bit, this is a mix of cases coming back and how we manage them, and the mix of counselors and the way – and the modality that we are driving. And that was about $3 million, if I look at it in isolation, and so that was bring it up. And there is obviously a 20 other puts and takes in there. But as Stephen said, I think, we will continue to monitor this really closely. I think the cases may subside, but I think in the longer run if they if they don’t, it’s a good thing, the services are proving to be very relevant in today’s marketplace. And we have an ability to get pricing. And the way I look at it as you certainly don’t want it to go the other way, where people are not utilizing the services and would come up for renewal and the price goes down. I mean, this is the way we want this to go. But that’s something that we need to manage. So, that’s a lot of stuff and there is stuff, hopefully that was somewhat helpful.
Stephanie Price: Yes, no, that’s great color. Thanks.
Operator: Thank you. The next question is from Etienne Ricard from BMO Capital Markets. Please go ahead. Your line is now open.
Etienne Ricard: Thank you, and good morning.
Stephen Liptrap: Good morning Etinne.
Etienne Ricard: It’s great to see the new disclosure on iCBT. With about $4 million in revenues, and in Q2, how much of that would be related to your initial government wins, government contract wins in Ontario and Manitoba. And how have you been able to scale this product over the past – over the past year?
Stephen Liptrap: Yes. Etienne, it’s Stephen here, obviously a large piece of that is both the Ontario contract and the Manitoba contract. However, we are seeing every week and every month and throughout the quarter wins with kind of two groups. So, we are seeing wins with other organizations wanting to add iCBT on to an EAP offering. Again, selling it as a one-off thing, just confuses employees. So, if you are able to do it as an add-on, as we talk about the continuum of care that’s very valuable. So, we do see that coming into play. We also see that we are starting to get some wins down in the U.S. as we rolled into the U.S. And the other exciting thing for me and this is very early on, is we are starting a lot of traction with us health plans, as they think of that this as delivering solutions for folks coming into those health plans. But again, at this point in time, because a lot of those are ramping up and getting going, the majority of it would be the government contracts that we have in place.
Etienne Ricard: Okay, great. And in terms – and congrats on the partnership with Microsoft. What utilization rate improvement have you seen from clients, or I guess I should say, what utilization rate improvements are you expecting from this initiative, integrating LifeWorks platform onto teams?
Stephen Liptrap: Yes. The shift that I think we are on it is a little bit of a longer term journey is, rather than people looking at, hey, how many employees went to see a counselor. The question that we should be answering is how many employees got the help they needed. And that helped could be I read an article about anxiety. So, I don’t need to go see a counselor, or I am on the recognition platform. And I now feel part of an organization. So, I don’t need that help and support. So, we really need to start thinking far more about how many people are we helping, how many people are we reaching, so we are starting to track all of that. We are starting to provide that to our clients. And I think Microsoft, the partnership will just ramp that up. If you think about, I can tell you personally, when I am on teams, and every month, I get a report telling me how many quite days I had, or how many – how much I was on email after hours or things like that. Imagine if I also got some solutions and some ideas, and we are going to be able to provide that as part of this. So, I think the utilization, the help, and the support will ramp up substantially. But it’s going to be our digital delivery, it’s not going to be as much as the in-person thing. So, it should help us both on utilization and emergence.
Etienne Ricard: Okay. And with increased demand for mental health resources, how are you thinking about scaling up your internal counselor base relative to extending the number of partnerships with third-parties?
Stephen Liptrap: Yes, it’s a great question. The first thing I would say is, we are one of the few organizations that have really taken the approach of having a large basis of our own staff counselors. And we have done that because we just have a firm belief that allows us to deliver better quality for our clients. And frankly, we are also able to do it at a cheaper rate, as a result of doing that. With the demand for services going up, we – back in the last quarter, we substantially updated our recruiting efforts. And we are tracking on a regular basis, how many recruits we are bringing in every week. We are making a lot of progress against that. And as we ramp that up, we will also have an improvement on margins, because, again, we are able to deliver those services way more efficiently through staff. But in the past quarter, it does take time for those folks to ramp up and everything. So, we see that improvement will take place over the next couple quarters. But it’s a key area of focus and I believe the key differentiator of ours.
Etienne Ricard: And could you remind us what is the difference in terms of the margin, whether the service is performed in-house relative to leveraging your third-party relationships?
Stephen Liptrap: Yes. I will give you a cost perspective. Our cost is about a third less. So, we are a third cheaper by delivering through our own staff counselors than we would be through using what we call an affiliate network.
Etienne Ricard: Great. Alright. Well, thank you for your comments.
Stephen Liptrap: Thanks, Etienne.
Operator: Thank you. The next question is from Graham Ryding from TD Securities. Please go ahead. Your line is now open.
Graham Ryding: Hi, good morning. I just like to reiterate that improved disclosure is definitely well received on our end, much better. My first question, just be on the iCBT side. It was definitely a strong growth when we look at it on a year-over-year basis, both for the quarter and year-to-date. It did – I think it dropped quarter-over-quarter. I am just wondering what drove that?
Stephen Liptrap: Yes. And the easy answer on that Graham is the quarters last year, just become a little bit more of a difficult comparison. We went a lot of government contracts a year ago. So, in the first quarter, you are not really comparing year-over-year versus this quarter where we are starting to.
Graham Ryding: Okay, understood. And then did I catch your comments correctly? Like I understand that that Ontario contract was recently put up for RFP. Did I hear you correctly that you successfully renewed that contract?
Grier Colter: That’s right, Graham. So, it’s an extension of seven months.
Graham Ryding: Okay, great. And is it still a shared program or any details on – although you were sharing it before, have you got – is it exclusive or is it shared program going forward?
Grier Colter: Yes. It’s still shared. So, it’s 50-50 shared with the same party that we have been sharing today. So, we have no change in that regard.
Graham Ryding: Okay. And that the terms of new wins, you made some comments, I think last quarter, you want a iCBT mandate and you have provided some comments, I think about targeting U.S. health plans. Are you referring to the pipeline there or are you actually successfully winning further mandates in the U.S. like in the quarter?
Stephen Liptrap: Yes, we had some wins in the quarter Graham. And we have got some health plan announcements that should be coming out a little bit later. But we are just kind of putting the final touches on them. But we were quite pleased with some progress we have made in the quarter.
Graham Ryding: Okay, great. And then just my last question, just the Australian acquisition, SMG? How much was that – how much did that have, like in terms of a revenue impact? And does that get backed out when you sort of break out your organic growth rate?
Grier Colter: Yes, it’s – just looking at it here, Graham. So, in the quarter it would have been, give or take about $4 million in revenue.
Graham Ryding: Is that higher than expected, or is it that in line?
Grier Colter: It’s a little bit better than expected, but largely in line. But it’s performing really well. We are super happy with it.
Graham Ryding: Perfect. That’s it for me. Thank you.
Stephen Liptrap: Thanks Graham.
Operator: [Operator Instructions] Your next question is from Jaeme Gloyn from National Bank Financial. Please go ahead. Your line is now open.
Jaeme Gloyn: Thanks. Really exciting stuff with the Microsoft partnership, I think in terms of a new channel, obviously, early days here on that front, but thinking longer term about this channel, are there discussions or opportunities with other providers of teams, like Universes and also other providers of App Source, cloud based software distribution?
Stephen Liptrap: Yes, Jaeme, it’s Stephen here, I think yes on all fronts. I think obviously, we will spend a lot of time and really double down on how do we fully leverage this partnership. And I think it’s an opportunity, as I said to win more and continue to improve our win rate. It’s an opportunity to move more clients onto our platform as an opportunity to add on modules for clients as well when their people are all in that system. And I think it’s also an opportunity, continue to improve margins with more digital delivery. So, we will go down that route for sure. We are also excited around App Source and the fact that we have got our ability solutions in Arielle on that platform. So, small and medium sized organizations can pick up some of our solutions there. So, I think it gives us a nice channel there. And we are in – we will continue to look for other partnerships that are similar to this. But I do think we should spend a fair bit of time making sure we fully realize all the benefits from this just with the fact of 250 million people being on teams and growing at a substantial rate.
Jaeme Gloyn: Appreciate it. Thank you.
Stephen Liptrap: Thanks Jaeme.
Operator: Thank you. There are no further questions registered at this time, I will turn the meeting back over to Mr. Liptrap.
Stephen Liptrap: Thank you, Laurie. In summary, we had a good quarter that has contributed to strong year-to-date growth. I would like to end by expressing my thanks to everybody on the call. We continue to appreciate your interest in our company. And we look forward to other opportunities in the future, including these calls to keep you up-to-date on what we are doing to drive our growth and success as a business. Thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. Thank you for your participation.